Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Ferrellgas Partners Third Quarter Fiscal 2023 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I will now hand the conference over to your speaker, Mr. Jim Ferrell, Chief Executive Officer and President. Please go ahead, sir.
James Ferrell: Thank you, and let me offer my welcome to our third quarter fiscal 2023 earnings call as well. Before we get started, I'm going to tell you about an unexpected recognition when Newsweek's 2023 list of the Most Trustworthy Companies in America came out, we were on it. I think that's really something. I take that as a tribute though to the 4,500 employees and not just the leadership team for Newsweek says they sample customers as well. It is our people who deliver the first-class service that earned them this title. As you know, we are a national logistics company with experienced leadership second to none. That shows up in the way our customers are served and in our financial results. For employees who might be listening, thank you very much. For everyone else on this call, the other comment I will make is that we are driven by performance. And in the end, our financial numbers. Analysts will slice and dice them to determine what really drove results, but I want you to know what I know, that our great management at all levels of the company could not be stronger nor more committed. Now to give you a better look at this quarter's results, here is our CFO, Mike Cole. Mike, the call is yours.
Michael Cole: Thank you, Jim. Welcome to our third quarter fiscal year 2023 earnings call, and thank you for joining. Before we begin, I would like to remind you that some statements made during this call may be considered forward-looking and that various risks, uncertainties and other factors could cause actual performance to differ materially from anticipated performance. These factors are discussed in our Form 10-K filed on September 30, 2022, and other documents filed from time to time with the Securities and Exchange Commission. Additionally, we note that the purpose of this call is to discuss the results of operations for the third fiscal quarter ended April 30, 2023. I would also note that we received questions in our investor inbox and have addressed some of those questions in our prepared remarks. Our financial results continue to be positive. In the third fiscal quarter, gross profit increased $10.4 million or 4%, while our cost of sales was favorable with a decrease of $70.6 million or 19%. Margin per gallon increased by $0.13 or 12% compared to the prior year period. The company has achieved positive results in contract negotiations with suppliers, securing strategic supply in the West while also leveraging targeted asset utilization management practices. Revenues decreased $60.2 million or 9% for the third fiscal quarter. Gallons sold decreased 7% or 17.8 million gallons compared to the prior year third fiscal quarter as near record warm weather impacted the timing of customer demand. Right time deliveries continue to be a primary goal of Ferrellgas, a leading logistics company. Operating income for the third fiscal quarter increased $4.6 million or 5% compared to the prior year period. Operating income per gallon increased $0.04 or 11% compared to the prior year period. A focus on cost containment and strategic initiatives on right-time delivery contributed to these favorable results, which were partially offset by higher fleet charges related to the cost of diesel, maintenance and repairs. The company paid a cash distribution to its Class B unitholders of $49.9 million on April 7, 2023. To date, the total aggregate amount paid to the Class B unitholders is approximately $150 million. In terms of our capital structure, we will continue to evaluate our capital structure in various alternatives given the recent improvement in our financial performance. For the third fiscal quarter of 2023 and 2022, the company reported net earnings attributable to Ferrellgas Partners, L.P. of $72.4 million and $67.6 million, respectively. Adjusted EBITDA, a non-GAAP measure, increased by $8.5 million or 7%. The change was primarily due to the $4.6 million increase in operating income, which was noted above in a favorable EBITDA adjustment of $3.6 million for legal fees related to noncore businesses. I will now turn the call over to Tamria Zertuche to go over our operational and company highlights.
Tamria Zertuche: Thank you, Mike. Ferrellgas welcomes Apollo Propane in Moraine, Ohio, as it's newest acquisition to the Ferrellgas family during the third fiscal quarter. Our logistics network is even stronger. We will continue to provide value customers in Ohio access to clean, affordable propane. As Jim announced earlier, we are proud of our inclusion in Newsweek's Most Trustworthy Companies in America. Relationships are at the heart of all we do. We are thankful to our employees, customers and suppliers who value our trusted way of doing business. Through our nationwide footprint, we ship on all major supply routes and have relationships with more than 100 carriers. Our customers trust that we will have the capacity to supply their clean fuel requirements, both on a routine basis and during critical events. Transparent communication throughout all areas of the company are also key for any successful logistics company. Technology enables communication throughout the key steps of the Ferrellgas customer journey. Mobile technology, it has been a part of the Ferrellgas delivery for decades. However, continuous improvement is at the very heart of all that we do. So this past quarter, we completed a rollout of next-generation mobile technology in which drivers capture data, tank monitoring notification to help ensure that the company delivers propane efficiently and in a timely manner. Another great point, Blue Rhino released a limited edition propane tank sleeve in support of the International Rhino Foundation, Keep Five Alive event. This raises awareness about the need to save the 5 rhinoceros species remaining in the wild. I want to close out this part of the call and really bring your attention back to the Ferrellgas employees. Our retention of valued employees, it continues to be our key to success. We have the very best logistics professionals in the business. Our goal is to take care of our employees in the ways that they need to remain a part of our team and also focused on the Ferrellgas customer. Part of our culture is to acknowledge one another. Ferrellgas Flame Awards were presented to hundreds of employees. They were nominated by their peers in areas of safety, customer service, innovation and leadership. Just as Jim commented at the beginning of this call, leadership matters, and we have the very best. To be recognized by your peer, it's the highest praise one can receive. We are so proud of our employee owners and the way that they support and recognize each other. I will turn our call back to our moderator, but before I do that, as mentioned in the announcement for this call, any additional questions may be submitted via our Investor Relations e-mail box at InvestorRelations@ferrellgas.com. Thank you. Now back to the moderator.
Operator: Ladies and gentlemen, that does concur our conference for today. Thank you for your participation. You may now disconnect.